Operator: Good afternoon. My name is Christen and I will be your conference operator today. At this time, I would like to welcome everyone to the Conference Call and Webcast for Third Quarter Earning. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question and answer session. [Operator Instructions]. Thank you. I would now like to turn today's call over to host, Ms. Willa McManmon, Director of Investor Relations. Please go ahead.
Willa McManmon - Director of Investor Relations: Thank you for joining us today. During the course of this call we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. The words intend, expect, plan or similar expressions are intended to identify forward-looking statements. Such statements are subject to risks and uncertainties that could cause actual events or result to cause to differ materially. Important factors relating to our business including factors that could cause actual results to differ from our forward-looking statements are described in our Form 10-Q, 10-K and other filings with the SEC. The company assumes no obligation to update these forward-looking statements to reflect actual results or changes and assumptions or other factors. Before I turn the call over to Steve, I would like to mention that we will be attending the Oppenheimer conference on November 19th and the JP Morgan conference on December 4th, both in New York City. We look forward to seeing you there, Steve?
Steven W. Berglund - President and Chief Executive Officer: Good afternoon. Today we will add some additional third quarter details, the comments we made on October 6 and establish the context for Trimble within the unprecedented... uncertainty that surrounds us all. In summary, our fourth quarter forecast is significantly less precision than normal because we remain predominantly a book and bill business that is in the short-term subject to the ways of fear, uncertainty and doubt that are enclosing short-term buying behavior by businesses. We anticipate 2009 to be a difficult year, but believe we have businesses within our portfolio that can grow. Finally, our confidence in our three year strategic path remains undiminished. As we indicated in our earlier call, we came up short on our expected third quarter revenue, largely due to the chilling effect of the freeze up in the credit markets on our customers. Much of the impact is decidedly short-term with some of the effects having obvious implications for 2009. We can point to dozens of anecdotes where the credit crises has resulted in loss sales for Trimble late in the third quarter or early in the fourth quarter. In some cases banks and other financing entities have denying credit to our customers. However in the significant majority of cases, our customers simply been afraid of the effects of the credit crises and have shutdown spending until some clarity emerges. Until confidence rebounds and some kind of steady state is established, it will be difficult for us to regain precision in our short term forecast. We believe we are well positioned to confront a traditional U.S. recession, one that does not involve the fear of systemic financial collapse, and our anticipating being in that environment during most of 2009. We have gotten to this week; emerging from the third quarter is on earnings; in spite of the revenue shortfall we exceeded our earnings guidance and achieved an improvement in the quality of our earnings model. Our gross margin was up year-to-year demonstrating a favorable product mix, improved costs and the absence of major pricing pressure. Our sales, marketing, and administrative expenses were also down year-to-year as a percentage of revenue demonstrating our seriousness of purpose on maintaining the quality of our model under a revised revenue scenario. As a result we saw non-GAAP operating margins expand over the prior year. In the third quarter we continue to see strong performance in our agriculture business and continued robust international growth outside the U.S. and Europe. We also saw a further reduction in the tax rate. We remained challenged in the E&C segment and we're comparatively flat in mobile solution segment as expected. The agriculture story remain centered on comparatively strong pharma cash flows and need to mitigate high input cost for fuel and fertilizer and strong product innovation. While commodity prices have dropped in the short-term, we do not believe this is a major factor for us because our justification is centered on cost reduction and yield improvement which remain as relevant as ever. Agriculture continues to develop as an international story with rapid market development beyond our historical core geographies of North America, Brazil and Australia. We believe we can sustain double-digit growth performance in this business through 2009. This view is based on anticipated demand for existing products, international expansion and a product line expansion into new emerging agricultural applications. The other business in the field solution segment mapping and geographic information systems had a respectable growth quarter with strong margins but do not see the traditional strong end of year... end of fiscal year push from U.S. government, presumably because of tougher spending controls in Washington. As expected the mobile solution segments quarterly results were unimpressive for the quarter with relatively flat revenue and earnings compared to the prior year. While we also expect fourth quarter to be relatively flat compared with the prior year, we are increasingly pleased with the prospects for 2009 in this segment and believe it has potential for taking end process steps in the next 15 months in subscriber growth and resulting financial performance both in the U.S. and internationally. Although the owners of small fleets of vehicles are in a comparatively hunted down state as they confronted slowing economy, we're seeing unprecedented levels of activity and interest among large fleet operators who have the potential for eliminating significant cost by adopting our technology. We are aided in our pursuit of these enterprise accounts by the Trimble brand and reputation which puts us in a good position to represent ourselves as a strong and reliable life time partner as compared to a universe that is still often populated by much smaller competitors with much shorter history. The army improving prospects for significant enterprise level orders, we are also seeing an expanding sales pipeline internationally against the baseline of close to zero a year ago. This activity is taking place in Europe, Latin America and parts of Asia. Against the positives within the Mobile Solution segment, we continue to wrestle with some businesses within the segment. The handheld field service and direct store delivery business has a growing sales pipeline but continues to be a financial drag. Our expectations for this business are tied to our new platform product the Mobile Application Platform aimed at a market of tens of million of workers which explains our relative patients. Our transportation and distribution business and our efforts in Asia-Pacific are also a drag on performance. We are achieving increased traction in the Asia-Pacific Mobile Solution market and believe we can achieve stronger performance levels during 2009. The construction supply, pre productivity, Telco and public businesses... public safety businesses are all reflecting healthy trends. Third quarter engineering and construction segment revenues reflected continuing high levels of uncertainty in U.S. and Europe while our international business outside those regions continues to be generally strong. The slower economy in U.S. and Europe is translating into fewer construction starts and fewer capital purchases. This is an environment we believe we can sell into since productivity and cost reduction become more relevant to contractors during tougher times, a factor that is not allowing us to engage in an effective sales process, and E&C is the paralysis of decision making that is resulting from the freeze up of credit markets and resulting reactions by business managers. In a number of cases we have seen investment decisions that were already made get put on hold as a result of a blanket spending freeze. The negative picture's not consistent across the segment. Our laser tool's business which was our largest exposure to housing fell sharply from the prior year. Other categories such as survey instruments which began to slow in early 2007 after an exceptionally strong 2006 was up single digits... up strong single digits year-over-year in the Americas. Under more traditional circumstances we might be asking ourselves that we had touch bottom and we are seeing early stages of recovery. In the current macroeconomic environment it is impossible to put these market moves in context and create credible judgments. Overall we are looking at 2009 with a combination of concern about the macroeconomic environment together with a view that we have a number of upside scenarios within the company. The key question will be by how much the upside will exceed the down side. The upside beyond the positive picture I've already outlined for agriculture and mobile solutions will result from a number of other elements. We are seeing robust growth potential outside of the U.S. and Western Europe. Since most of our sales in these areas are for government funded infrastructure development, we are not directly exposed to slowdowns in commercial spending. We expect international to remain strong for us in 2009. Many of our recent corporate efforts have been focused on extending our international presence to realize the opportunity. We also believe we can produce points of growth based on new revenue streams from new adjacent business concepts. For example, we discussed the introduction of our new Forestry product line in the July conference call. While we have yet to make our first sale, we've generated a meaningful sales pipeline in the three month since product release. The purchasing cycle is comparatively long but we expect decisions in most cases in the next six months. While acknowledging the possibility of macro economic follow-up, the sales pipeline alone has the potential to create 1 to 2 points of growth for Trimble next year from an entirely new source. Another new adjacent area for Trimble is our Geospatial initiative. Here we are creating new tools to provide our existing customers Geospatial information with which to more efficiently plan, build, monitor, and operate their infrastructure. We are initially focused on three vertical markets: roads and highways, transmission and distribution for electrical and water utilities and oil and gas transmission and distribution. We will develop imaging and lighter systems in software to collect data and process within the high fidelity 3D models of vital infrastructure. These high fidelity models are used for applications such as road alignments studies, environmental impact assessments, infrastructure design and cost estimation, vegetation management, road condition assessment and roadside asset management. To accelerate our position in this emerging marketplace, we have made four small acquisitions in the last year. Rollei Metric is a developer of high resolution, ruggedized metric cameras using aerial and terrestrial systems to collect imagery. TopoSys is a developer the aerial of data collection systems comprised of high resolution cameras and LiDAR. GEO-3D is a developer of mobile vans that collect similar imagery and LiDAR data from roadways. INPHO is a developer of office software to process the LiDAR data and imagery using photogrammetry techniques to generate the 3D models. This portfolio enables Trimble to offer an end to end solution to our customers. By leveraging Trimble's worldwide capabilities, we believe we can generate meaningful short term growth in this new business during 2009. These are two examples of new ideas becoming new sources of revenue. Beyond these two applications, we are actively pursuing a number of other adjacencies within the company with the potential to establish ourselves in new market segments during 2009, with implications for 2009 and beyond. The new joint venture and distribution agreements with Caterpillar announced on October 6th have major implications strategically, but also have short-term potential as well. The announcement has been well received and participants in the distribution channel who have been awaiting the announcement are now moving forward with implementation plans for the new SITECH concept. Market conditions aside, we expect a much more energetic channel from construction machine control and the emerging connect-to-site products in 2009. As we said in the earlier call we expect the effects from these agreements to add two points to Trimble's annual growth rate going forward. While all our actions are undertaken with a three-year view, we expect these and other actions will make 2009 something other than a one way street of doom and gloom and certainly make us something more one trick pony tied to the construction industry. We are not backing away from the concept of generating meaningful revenue and earnings growth in the year. Without a doubt 2009 will be difficult and at the moment too difficult to forecast. With the apparent continuing easing of the credit markets, we hope to see a more conventional recession in the U.S., a slow growth environment in Europe and continued growth elsewhere. Our points of focus will be to take the actions necessary to preserve our financial model, to take the aggressive steps necessary to emerge from this period competitively and strategically stronger than we entered it, and to take this as a unique opportunity to improve across the company. Just as the actions we took in recession years, the 2001 and 2002 created the platform that launched us on a six-year trajectory of growth. We anticipate using this period of adversity as an opportunity to establish a stronger position for ourselves. Let me turn the call over to Raj.
Rajat Bahri - Chief Financial Officer: Good afternoon. In the third quarter of 2008 revenue was $328.1 million, up approximately 11% from revenue of $296 million in the third quarter of 2007. Operating income for the third quarter of 2008 was $54.1 million, up approximately 24% from the third quarter of 2007. Operating margins in the third quarter of 2008 were 16.5%, up from margins of 14.8% in the third quarter of 2007. Excluding amortization of intangibles, stock-based compensation expense, restructuring expense and amortization of inventory step-up, non-GAAP operating income was $69.9 million was up 21% compared to the third quarter of 2007. Non-GAAP operating margins were 21.3% in the third quarter of 2008, up from 19.5% in the third quarter of 2007. We contributed 38% of the increase in revenue to the operating income line this quarter. Net income for the third quarter of 2008 was $39.1 million, up 43% compared to the net income of $27.4 million in the third quarter of 2007. Diluted earnings per share for the third quarter of 2008 were $0.31, up 41% from diluted earnings per share or $0.22 in the third quarter of 2007. The tax rate for the third quarter of 2008 was 30% compared to 39% in the third quarter of 2007. The lower tax rate is due to the previously announced implementation of a global supply chain structure. Adjusting for the items noted above, non-GAAP net income of $50.2 million for the third quarter of 2008 was up 40% compared to non-GAAP net income of $35.9 million in the third quarter of 2007. Non-GAAP earnings per share for the third quarter of 2008 were $0.40 up 38% from non-GAAP earnings per share of $0.29 in the third quarter of 2007. By geography in the third quarter 55% of revenue was in North America, 24% in Europe, 14% in Asia Pacific and 7% in the rest of the world. Versus prior year this represents growth rates of 9% in North America, 5% in Europe, 21% in Asia Pacific and 29% in the rest of the world. I will now cover results by segment on our underlying non-GAAP basis. Engineering and construction revenue was $191.9 million, up approximately 5%, when compared to revenue of $182.1 million in the third quarter of 2007. In general, international sales were solid particularly in Middle East and Asia. But E&C was impacted by continuing slow conditions in the U.S. and Europe. Non-GAAP operating income in E&C was $42.7 million or 22.3% of revenue, compared to $43.7 million or 24% of revenue in the third quarter of 2007. The margin decline in this quarter was lower than what we experience in the first half of 2008 as the restructuring efforts we implemented earlier on gained traction. Field solutions revenue was $64.4 million, up approximately 44% compared to revenue of $44.8 million in the third quarter of 2007. Revenue growth again was driven primarily by strong demand for agricultural products. Non-GAAP operating income in TFS was $22.3 million or 34.6% of revenue compared to $12.1 million or 27% of revenue in the third quarter of 2007. Operating margin expansion came from operating leverage resulting from increased revenue as well as some improvements in product cost. Mobile Solutions revenue was $40.8 million up approximately 4% when compared to revenue of $39.2 million in the third quarter of 2007. Non-GAAP operating income in TMS was $4.6 million or 11.2% of revenue compared to $4.3 million or 10.9% of revenue in the third quarter of 2007. As we discussed last quarter, we expect operating margin expansion in TMS as we roll out the new direct store delivery product which should begin to favorably impact TMS margins in the first half of 2009. Additionally we are anticipating some new customer amends in the first half of 2009. Advanced Devices revenue was $31.1 million, up 4% when compared to revenue of $29.9 million in the third quarter of 2007. Non-GAAP operating income in Advanced Devices was $7.2 million or 23.1% of revenue, compared to $5.2 million or 17.5% of revenue in the third quarter of 2007. Improvements in operating margins were due to product mix and increased licensing revenue. Total non-GAAP operating expenses for the third quarter of 2008 cane in at $102.7 million or 31% of revenue compared to 32% of revenue in the third quarter of 2007. The expense reductions that we took at the end of second quarter had a favorable impact on the third quarter operating expenses, hence we contributed 38% of incremental revenue to the bottom-line. Non-operating income for the third quarter of 2008 was $1.6 million versus $1.1 million in the third quarter of 2007 due to lower interest expense and higher profit from the CTCT joint venture. We finished the third quarter of 2008 with $70.5 million in cash compared to $79.8 million in the second quarter of 2008. In the third quarter we generated $41.6 million in cash flow from operations. We used this and $51 million in borrowing primarily to buy back stock and for acquisitions. As part of our stock repurchase program, in the third quarter we purchased 2.452 million share of Trimble stock at an average purchase price of $32.43 for a total of $79.5 million. This is in addition to purchase of approximately 968,000 shares at an average price of $26.71 in the first quarter of 2008 and approximately 287,000 shares at an average price of $36.25 in the second quarter of 2008. In the third quarter, net accounts receivable were $257.5 million down from $267.2 million in the second quarter of 2008. Day sales outstanding was 71 days down 4 days from 75 days in the third quarter of last year. Inventory was $162 million compared to $153.4 million in the second quarter of 2008. Turns were four times. Now for the fourth quarter guidance. In the fourth quarter of 2008 we forecast revenue between $315 million and $323 million. We expect fourth quarter 2008 GAAP earnings per share between $0.22 and $0.25 and non-GAAP earnings per share between $0.32 and $0.35. Non-GAAP guidance for the third quarter of 2008 excludes the amortization of intangibles of $11.5 million related to previous acquisitions and the anticipated impact of stock-based compensation expense of $3.8 million. Both GAAP and non-GAAP guidance use a 23% tax rate and assume 125 million shares outstanding. The tax rate is expected to be lower due to the supply chain streamlining project we discussed in previous quarters along with the extension of the R&D tax credits by the U.S. congress. Thank you, we will now take questions. Question And Answer
Operator: [Operator Instructions]. Our first question comes from the line of Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg - Deutsche Bank: Hi, thanks for taking my call. Just a quick question. In terms of the slowdown and the weakness you are seeing among your customers and their credit problems, is it... it seems like the weakness is much more in the fuel solution side, do you expect to see something similar in the E&C side? And then a follow up to that is, how much in these businesses start and stop. If distributor stop's buying today, can he restart in a quarter or two or does it... usually take longer to get the business up and running again?
Steven W. Berglund - President and Chief Executive Officer: Okay, so first of all... virtually all of this credit related stuff, we are seeing is on the E&C side field solutions which is agriculture and GIS is... so far we haven't detected anything like that in the agriculture businesses, it's all been on the E&C side and GIS is really in a different realm. So, the credit related or let's call it the psychological effect of the credit problems and it's virtually all on E&C side. As far as the stopping and starting aspects of it, it tends to be... the normal business tends to be a... call hundreds or thousands of individual small transactions. So it really is post forming [ph] and it's really a deferral. It's very unlikely that we ever loose a sale completely because the justification once done is as relevant two months later as it was two months before. So it's in the after market. So in reality I don't think our sale is actually lost. It may be postponed for a period of time based on seasonal factors, a contractor in season say from April to through September is many less likely to take a machine out of production to installing machine control system for example. But aside from that we would look at the sort of activities being more of a deferral than an actual loss and could be picked up at any point in time.
Jonathan Goldberg - Deutsche Bank: And what about your customer's business. I understand that you wouldn't necessarily lose the sale. But if a construction project is postponed today because of credit problems, doesn't it take... is there a longer than expected lead time to get it up and running again?
Steven W. Berglund - President and Chief Executive Officer: Yes, certainly if construction projects are differed or cancelled that eliminates kind of the need for the applications. So yes there is a larger issue here in terms of the ongoing financing of construction projects. So yes in that case... but the first psychological effect is one thing, I think the underlying market dynamics are another.
Jonathan Goldberg - Deutsche Bank: All right, thank you.
Operator: Our next question comes from the line of Mark Strauss with JP Morgan.
Mark Strauss - JP Morgan: On behave of Paul Coster. A couple of things first, R&D declined a little bit more than we seasonally see in 3Q. Should we expect the same kind of normal bounce back that we get in 4Q or are we going to keep it kind of depressed until we through this?
Rajat Bahri - Chief Financial Officer: Now if you look at R&D it was around 11% of revenue last year still at 11% of revenue and so the leverage we are getting versus last year is prime and we look at things versus last year primarily is the leverage is coming from sales and marketing and G&A expense but if you look at R&D as a percentage of revenue, it's pretty close to 11% last year as well as this year.
Mark Strauss - JP Morgan: Okay, Got it. Thanks and then you mentioned the tax rate for 4Q, what should we be thinking about longer-term?
Rajat Bahri - Chief Financial Officer: I mean this fourth quarter is a sustainable reduction because the Congress extended the R&D credits till end of next year and they always have been extending it for the last few years. We just not forecasted it in our projections because the law was just extended end of September. So yes, that should be a sustainable reduction into next year and we should see a point of benefit on the total tax rate for next year because of this.
Mark Strauss - JP Morgan: Okay, perfect. Thank you very much.
Operator: Our next question comes from the line of Rich Valera with Needham & Company.
Richard F. Valera - Needham & Company: Thank you. Just if I could get a clarification on the tax rate, what is the average tax rate you expect for '09?
Rajat Bahri - Chief Financial Officer: Well, this year we expect our total year tax rate with the 23% coming down to full year tax rate to be somewhere in the 29% to 30% range for '08. And I don't see it would a reason to be different next year, unless the mix of our sales by geography changes significantly. That will be the only caveat, but I would expect next year's rate to be in the 29% to 30% range as well for the full year.
Richard F. Valera - Needham & Company: Okay, that's helpful. And with respect to the Ag market.... you say you haven't seen anything yet, but obviously crop prices have dropped pretty precipitously some key ones sort of cut in half, I mean what have you seen or I guess maybe what is your estimation of how significantly the dramatic jump in crop price has boosted your business, because presumably that's the part that you might be at risk, I mean obviously there is always the ROI aspect of the component of what you sell, but there were some upside I think driven by crop prices doubling and now with that cut in half, I would presume there is some downside here. Just wondering what your thoughts are on that?
Steven W. Berglund - President and Chief Executive Officer: That's right, so I think the way to maybe characterize it is through most of 2009 we have seen extraordinary double-digit growth rates in agriculture. I think for 2009 we're looking for strong double-digit growth rates but we're certainly as we have been saying I think all along is we... the rates that we've been saying in early part of 2009 were simply not sustainable in the long-term, because of the froths from commodity prices being so high and the fact there was incredible amount of money flowing through farmers. But again because of the ROI and because yields for example have been high and cash flow is still comparatively high but in primarily because farmers are under margin squeeze and more so or now than they were six months ago and that actually helps us, we think make the pitch. So we're anticipating in 2009 what's called strong a double-digit growth as oppose to an extraordinary double-digit growth rate.
Richard F. Valera - Needham & Company: Great. And then for the fourth quarter I know you made a small acquisition recently, is there much in the way of acquisition revenue contribution in the fourth quarter relative to the third?
Rajat Bahri - Chief Financial Officer: Acquisition strategy is consistent, we will be... we did couple of acquisitions in Q3, couple in Q2 and we have a pipeline here and we will keep on executing one to two acquisitions per quarter. So it's a pretty standard strategy we have and it will be consistent with the past.
Richard F. Valera - Needham & Company: Great.
Steven W. Berglund - President and Chief Executive Officer: But again are characterizing the acquisitions we're making there they are all relatively small typically $5 million, $10 million a year would be a fairly typical revenue strength from the acquisitions we are making. We are making them to establish positions in the marketplace or in a technology. So it certainly sequentially quarter-to-quarter there is they blend very much in to the background and not a discernible factor.
Richard F. Valera - Needham & Company: Great. And finally on the gross margin you did have a very nice apparently mix this quarter, can give us any sense of the sustainability of margins at that level are if you expecting the sort of revert back to sort of more historical levels?
Steven W. Berglund - President and Chief Executive Officer: Well, let me speak generally and Raj maybe can do a better job in answering the question. But gross margins at the corporate level really don't necessarily have a great meaning because we run the individual businesses, top line and operating line and there will be different gross margins depending on the businesses around the company. So, I would say in general it doesn't per say have intrinsic meaning with a stronger dollar that will generally help the ratio of that entrepreneur percentage standpoint. But I don't think there is anything that would say that it's not sustainable given the relative product mix.
Rajat Bahri - Chief Financial Officer: Yes, I agree with Steve. The product mix up is.... generally our gross margin have been going up except for first half of this year and if look at our strategies it's all driven by higher subscription revenues next year in Mobile Solutions more software sales in the connected site, so in general all the things that strategically we're doing would lead us to believe that gross margins have upward bias to them going forward.
Richard F. Valera - Needham & Company: Great, that's helpful. Thank you.
Operator: Our next question comes from the line of Eli Lustgarten with Longbow.
Eli Lustgarten - Longbow Research: Good afternoon.
Steven W. Berglund - President and Chief Executive Officer: Hey, Eli.
Eli Lustgarten - Longbow Research: Thanks for question. Can you talk about the benefit of foreign currency and the impact of foreign currency in the third quarter and what you would assume for the fourth quarter? And I know that you told about next year a little bit, if these things were probably particular interest?
Rajat Bahri - Chief Financial Officer: Sure. Versus prior year, dollar was still weak. So that hurt our revenue a little bit, not much a little bit there and it was pretty much neutral on that bottom-line. Now versus when we gave the guidance earlier on in the quarter, the dollar did strengthen since then. And that hurt our bottom-line versus the guidance. And we quantified that as $4.5 million hit on the revenue line that was when we gave the Q3 guidance three months ago, after dollar de-strengthened and we did get impacted on the top-line, but bottom-line actually it was slight benefit for us when the dollar strengthened.
Eli Lustgarten - Longbow Research: Okay.What about in the guidance for the fourth quarter, I guess that's?
Rajat Bahri - Chief Financial Officer: We are assuming where the dollar is right now. It looks great. So if it strengthens, it will be slight hit to our revenue and a slight benefit to our bottom-line.
Eli Lustgarten - Longbow Research: So it is helping you a little bit. Another thing I want to on the technical side you showed where was the buyback stock each quarter and now that we're having a true bargain sale for the company. You talked about the stock repurchase plans or the thought process about buying stock in the fourth quarter, given the ridiculous valuation of things to be put on stock at this point?
Rajat Bahri - Chief Financial Officer: Well, we don't talk specifically for each quarter. What we announced in the beginning was we announced that $250 million planned and we have executed $160 million of that $250 million. Every quarter we look at our acquisition needs, we look at our cash flow situation and we're also going to be understanding where this credit market is, that's the new phenomena and we will balance all those factors and decide what we want to do for Q4.
Eli Lustgarten - Longbow Research: I guess, I had one here and I'll try to get back and navigate the area, the question is, is your focus in this quarter really on maintaining liquidity or would you step up your share repurchase over the next couple of months given the kind of price levels of the stock?
Rajat Bahri - Chief Financial Officer: Yes Eli,it all depends on, what we believe the credit market is going in the credit market, is it going to be unfreezing that will lead us to be aggressive in our borrowing theme. But as the credit market continues to be destabilized then we will not, so it all depends on the mix and we'll do what happens.
Eli Lustgarten - Longbow Research: Okay. Well if we go back to your Ag business just a little bit. Our distributors have to plan in advance to sell the product are their preorders or what is order cycle from your distribution system for products the next year. And what are they doing, because it started off to show product that it's going to up the show, they are going to have it there. Do you have any idea what are you seeing from your distribution system as far as preparing for next years Ag market?
Steven W. Berglund - President and Chief Executive Officer: I would say in this case fortunately, it being October is we don't... we and our dealers really don't need to really confront issues of the inventory levels until probably into December and into January is that. We obviously are planning for over three to six months in terms of our inventory levels. But our dealers actually don't have to make commitments in terms of purchases really until December, to be ready for the Ag season and then December and into January to be ready for construction season. So, right now October and November were going to be in a seasonal low period for the year; but the obvious exceptions of Australia and New Zealand and Brazil and places off of the equator, but by and large let's say it does not become an issue until December. They placed the orders with us. We've respond that typically within 20 to 48 hours in supplying those orders. So it's a very short cycle.
Eli Lustgarten - Longbow Research: And did they.... when this deal that placed the order that did do doing it on an anticipated demand or do they have really based on commitments from customers or what they are trying to do? Do you have any sense of how they go about the process?
Steven W. Berglund - President and Chief Executive Officer: No, I think it's more in terms of anticipating the market than hard commitments. Our typical dealer whether it be agriculture or whether it be construction or whether it be the serving instruments, we'll be out in the marketplace everyday talking to a wide variety of customers; demoing product and the like. So we'll have a pretty good sense as to, who's going to make a buying decision and when, but they will buy inventory and at it's a station. They are not actually buying inventory to fill specific orders typically, so there will be a little bit... so we expect our dealers to maintain a reasonable inventory levels so that they can effectively be off the shelf, for most product categories when the customer makes that buying decision, but the dealers will buy in anticipation a moderate level of inventory.
Eli Lustgarten - Longbow Research: Yes. And final question and you've been able to demonstrate tremendous control of profitability despite variation of demand as in kind of uncertainty. I mean how far would demand have to pull before we will see or is there a number that demand will have to pull before we see a real impact on margins or can you really scale it almost linearly up and down with demand?
Steven W. Berglund - President and Chief Executive Officer: Well, I don't know that we can now make that commitment to scale up and down with the demand. I think I had won it for some boundary conditions on that particular statement. But I... you followed us for long time Eli, you understand that we are very serious about, we don't control profits, we control cost by the way. But we are on a daily basis asking ourselves the question about what we're seeing in terms of future demand we're making priority calls, we are controlling cost we have done that for many years and so as result we've been comparatively predictable. We would bring that same ethic into in this environment of uncertainty, so it doesn't come automatically, we don't have magic the formula here but we do tend... we don't have to make, what we don't have to make is six month or 12 month kind of commitments related to capacity all those sorts of things. Our environment is such as that we can scale up or scale down relatively quickly and that's what we've been doing really since April in this environment and we would anticipate continuing to do it but all within some level of constraint to it.
Eli Lustgarten - Longbow Research: Thank you very much.
Steven W. Berglund - President and Chief Executive Officer: Thank you.
Operator: Our next question is from the line of Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer & Co.: Good afternoon and I just want to say congrats on these results I mean there is very impressive given the difficulty of the market and I think you had a lot of pressures in storing the cut... your cost early; few companies have been able to do that as well I think. The question kind of about some of your end markets, I think one of the bigger uncertainties out there is how state and municipal funding is going to be for construction and roads and even government buildings. How do you go about assessing that risk in the U.S. and I guess for that matter in the rest of the world I mean, I think we all understand the places like China have plans to invest considerable funds over the next few years in their infrastructure what do you think the risks are if they see their economy slowing they also have to take their foot off the paddle maybe more gradually than private companies do but still?
Steven W. Berglund - President and Chief Executive Officer: Okay well. Lets start with places like China or India or our non traditional markets where we have been seeing significant growth. So lets just postulate that if there is a feedback cycle here from U.S. and Europe and okay we see Chinese or Indian growth firm slowdown and if they start to ease. I think the opportunity set for us as a company is still enormous from a standpoint that if you look at them penetration if you look at the number of jobs for infrastructure in China or India or anywhere else. If you look at the... our percentage penetration in to those markets pick a low number but its got one digit associated with it. So even if for example just postulating that those markets fall 30%-40% our available market if you will fall 30%-40% that still leaves us enormous potential to penetrate the market. So, even a smaller market in China or India or places or Russia still gives us enormous opportunity. And we... is focusing maybe for a moment on machine control elements and the other construction elements. The other thing that is we'll be new in the very near future as we have not necessarily have the best most capable and most muscular distribution in those areas. We have been building up a dealer channel with this agreement with Caterpillar and this the development of this new distribution channel SITECH we will more or less in a step function away suddenly have significant distribution... well funded distribution with a set of connections in those markets. So we would expect in places like China, India or whatever as even if those markets fell from current levels. Our ability to penetrate the market and maintain or increase our growth rate in those markets is still available to us in a big way. Now working back to the U.S. without a doubt tax revenue environment is not good at all for states, municipalities and alike. So they... it's a point of concern I have no particularly good insight in terms of what's going to happen, we'll adjust to it as we come to it. Now on the flipside, is when Congress and other start to talk about stimulus packages, at least there is discussion about making infrastructure road and bridge and other forms of infrastructure development part of that which makes a lot of sense given the state of infrastructure in this country. So there it maybe come in a mixed form here, there may be some negatives, there may be some positives but I think it's really too soon to tell. But I think it's a point of concern going into 2009, we've attempted to the factor. We are attempting that factor that in terms of our relative views on 2009 but we're still pretty bullish on in the international front and pretty conservative when it comes to looking at the U.S. with Europe somewhere in between.
Yair Reiner - Oppenheimer & Co.: Okay, that's actually helpful. And can you give us a sense of how you see your competitors, being impacted by the kind macroeconomic environment and what its doing for you or against you in terms of competitive landscape?
Steven W. Berglund - President and Chief Executive Officer: Okay. Well I may be not talking terribly specifically, but our view looking back to 2001 and 2002, we spent 18 months in a pretty dire environment from nearly the end of very end of 2000 through the first half of 2002 there was an 18 month period there that we view it as a pretty tough recession. When we started to emerge from that in the third quarter of 2002, we were in a significantly better place competitively than in the December of 2000. We would actually expect that same phenomenon to occur this time around is and actually that is the message to the management group and the employee group. Out of times of adversity we set the stage for the next round of growth and that's really what we will intend to do. But back to the R&D question that was asked earlier, we would not intend to take our foot off that particular pedal, we'll still keep pushing on it, we'll find leverage elsewhere in the company but the idea here is to use this as an opportunity to build long-term structural competitive position. So I think we have advantages going into this period competitively, again referring to the Caterpillar agreement is I think we have taken a step function forward in terms of strength and quality of distribution. We have to execute of course over the next year in pulling this off, but if we execute well we will have established a much stronger distribution channel both for yes, Caterpillar branded products but with this Trimble ready program we have that has been where with every other machine manufacturer we have varying degrees of cooperation. We can essentially I think move forward very, very much on the construction side during the period of smallness or adversity or whatever. Agriculture, again its a number of factors that are working here. We have strong position but I think you can expect from us over the next months, indications that we're expanding our frame of reference in agriculture. We are taking... we are investing in this business, we believe in this business, we will expand our relative exposure to agriculture doing more in terms of applying technology to the agriculture problem. You will see us taking steps during the slow period not that agriculture slowed, but taking advantage of this time to push harder into the marketplace. And I think the mobile solutions area we're again, we are seeing at the enterprise level of medium to large size enterprises we are seeing, significantly more interest than we have ever seen before. And again there is a case where competitively if you scan kind of the competitive set in that market segment you will find that both from a financial standpoint and a size standpoint Trimble is large but increasingly from a brand standpoint its kind of like the old IBM you don't get fired for picking IBM. That's kind of the role that we're trying to fill in that marketplace. So pretty much across the board and the company is... yes, we may take some body blows in the next year from the macroeconomic environment but relatively we're looking forward to improving our position.
Yair Reiner - Oppenheimer & Co.: Thank you, Steve I will get back in the queue.
Operator: Our next question is from the line of Jeff Evanson with Dougherty.
Jeff Evanson - Dougherty & Company, LLC: Good afternoon everybody can you hear me okay?
Steven W. Berglund - President and Chief Executive Officer: Yes, we can hear you.
Jeff Evanson - Dougherty & Company, LLC: Great. Steve within E&C I have been curious to know how much of your growth this quarter came just from market share gains. Would you give us as kind of a general figure there?
Steven W. Berglund - President and Chief Executive Officer: We have to clarify the category, I cannot calculate that might had to have real time, let me characterize more broadly. So I think that we are gaining share I think we are gaining share... we now are gaining share in some markets where we have specific information. So I believe in serving instruments we are gaining share both high end and low end in U.S., in Europe and rest of the world is a little bit more confused. But we believe we're gaining share there. Again I think that, in the areas of construction machine control, I believe we have gained share, I don't have nearly the same quantitative basis for saying that as I do. But where I am confident is that we've had a distribution channel really for the last nine months that has been awaiting the Caterpillar announcement that hasn't been as energetic or as engaged, as we would have, it is now up and engaged. So looking forward, I would be much more I would have much higher expectations in terms of share gain there. I think agriculture, I believe that we are just in terms of differential growth rates by arithmetically, I believe we are gaining market share in agriculture. And then in mobile solutions, the market hasn't really served to tired out so there is less quantitative data, but looking forward to 2009, I am very hopeful there. So I am dodging your question from a quantitative standpoint, because I don't have a ready answer for you. But, I would say qualitatively, I like what I see across the company.
Jeff Evanson - Dougherty & Company, LLC: One of my question implied that I do think you're taking market share so that's good and I would love to get your thoughts later on specifically which you think that add in. Steve I think I heard you say that you have a... there is a lot of moving parts for '09. We are trying to model your company just as you are and it's difficult to do, but I think I heard you gave a pretty specific commitment to growth in revenue. And I assume EPS in '09. I guess what I would like to know is what would you put as a probability that Trimble not grow in '09 from '08 on revenues and EPS?
Steven W. Berglund - President and Chief Executive Officer: On that one I am going to dodge you completely, because I am going to ask you then to define the macroeconomic scenario country-by-country. I think that certainly from prior conference calls, we're acting in a more humble state here, simply because week-by-week every Monday morning is a new adventure in terms of what might have happened over the weekend. And we're just saying, we just believe in the last three to four weeks, as there has been some terrible body blows delivered to the economy, the real economy from financial the crisis and it's a question as to how quickly things recover, whether confidence returns or... and whatever. I'm just saying, I think my fundamental message is given what does seem to be universal doom and groom and nothing but negativism out of there is that we as a company are certainly not going to be passive victims in this environment. We believe we can do things to actually create growth in 2009, but in terms of the probability one thing or the other, I'll wait until LIBOR is down below a certain point before I'll open my mouth on the subject.
Jeff Evanson - Dougherty & Company, LLC: Okay. And then last question. I assume you talked to E&C customers quite regularly. I'm curious to know how frequently you're touching base with your end customers and what you're hearing from them, I mean obviously you're telling us that there's concerning fear out there. And therefore, the people are delaying purchases. Can you give us the sense of what you're actually hearing from these customers? And then just going back out of caution are they actually starting to see program cancellations?
Steven W. Berglund - President and Chief Executive Officer: The answer is while... asking kind of asking flight question, yes, today I have already talked to a customer in the UK and one here in the US. So I'm certainly personally have a sense of the market at last anecdotally. But I think the clear thing that we're getting from the market at this point is just everybody is looking in the direction of Wall Street.
Jeff Evanson - Dougherty & Company, LLC: And but we already established we don't know what we are doing?
Steven W. Berglund - President and Chief Executive Officer: Yes, well, I can certainly confirm that Jeff. But so I think that preeminent issue at this point in time is, I think on Monday mornings, maybe Monday mornings three four weeks ago CEOs or principles of construction firms or the like, was something wrong. The CEO equivalent was walking in our Monday morning saying I don't understand this stock buying anything and we saw that effect immediately after 9/11 in 2001 which kind of put things in a state of paralysis for nine months nobody was willing to make a decision. I think we're seeing a similar environment at this point in time where right at the moment until people see some sort of clarity that they're simply not willing to make the decision. So I think it's at the moment its significantly more of I don't want to make a decision until I see something out there, more so than at the moment kind of what I recall the classic session of there isn't any business. Now with that, I am not in any fashion denying that economic activity has slowed down. We expected to continue slow or slower in the U.S. and so we're anticipating that but I think that if we could just find a something of a study state, if the banks were working if the financial system was working and we were simply dealing with slow times again we know who to go see? We know how to make that sale? We just need somebody willing to make a decision based an ROI and right at the moment nobody is willing to entertain the decision in any regard at this point in time until they get a better feeling as to whether there is going to be a collapse of Western civilization as we knew it.
Jeff Evanson - Dougherty & Company, LLC: Alright thanks a lot Steve.
Steven W. Berglund - President and Chief Executive Officer: Good bye.
Operator: Our next question is from the line Scott Sutherland with Wedbush Morgan.
Scott Sutherland - Wedbush Morgan Securities: Great, thank you and good afternoon. So couple of questions here when you talk about the international opportunities maybe looking mostly at E&C and Ag, what are the main emerging regions that you see that you have the most opportunity to penetrate that and incrementally benefit your revenue?
Steven W. Berglund - President and Chief Executive Officer: Sorry Scott I, you kind of faded out there, can re-ask the question?
Scott Sutherland - Wedbush Morgan Securities: It's alright. So you talked a lot about the new product opportunities in areas you're moving to maybe talk a regionally about opportunity of regions you'll not really well penetrate in there, you think your target over this next year that really help drive some incremental revenue growth?
Steven W. Berglund - President and Chief Executive Officer: Okay well. It's probably the kind of the standard west but its actually a fairly global list. Latin America probably becomes a little bit more targeted in terms of product done. I wouldn't necessarily put Latin America necessarily in same category as others but in some ways, there are still some targeted opportunities in Latin America but starting with the Africa which doesn't usually play into U.S. public company conference calls but Africa to us is a fairly significant opportunity because there is a great deal of infrastructure development being done in Africa. Lot of it Chinese funded, a lot of it funded by international aid agencies but we've got a serious sales pipeline into Africa for our fundamental infrastructure products VRS and the like to establish a surveying infrastructure in Africa, to establish things like property lines and the like and there is actually common wide activity going on; coordinated common wide activity taking place. But from our standpoint, okay the first step is to capture that infrastructure business the VRS business to establish virtual reference stations all over Africa and that enables construction and survey rovers to follow and becomes the source of more sustainable business for Trimble. So for example at the moment we have a South African presence. We have actually have a company in South Africa. In the next few months, we will be opening an office in Nairobi, Kenya to support that part of Africa. So we see Africa as actually maybe in the 2009 context it's not going to add tremendous amounts of a dollar growth to the company but over the next three four years, we would actually see Africa as a growing source of revenue for us. The Middle-East even with the decline in oil prices, still tends to have a great deal of construction, is a hot and what I would call a hot market for us. And I would see that continuing through 2009. A Lots of infrastructure development, lots of project development still growing on in the Middle-East. With oil prices being down there maybe some cut back but again it's still a fairly hot market. China is still China, so it even if it takes offs some points of growth, just huge amounts of infrastructure still on the books to be built. We are gaining significant traction already in terms of channel development and organizational development in China. We are much more confident organization today in China then we would have been three, four years ago. Again the SITECH concept coming out of the Caterpillar agreement puts us into the play on things like construction machine control. Our construction machine control sales in China have done deminimus up to this point in time and so for example next year we could achieve a step function piece of growth on construction machine control. Same goes for agriculture. Now we think there are... parts of China there are potential Ag markets for us. We've not made any serious sales into China or at least noticeable sales into China at this point in time. We now have resources in place in China. So actually... that could actually become... start to become a meaningful market for us starting next year. Russia, kind of a confused place at this point of time but still a rich market. We're seeing significant potential for agricultural. Our agricultural capabilities in both Russia and Eastern Europe as these former collectivize farms... large farms, get new management. So I would tend to just say it's pretty much everywhere outside of Western Europe and the U.S. excluding Latin American and obviously excluding places like Japan. But we see the opportunities for construction machine control, we see possibilities for this emerging concept we got of Building Information Management, BIM. That's a new product area for us that is getting some early traction in some of these countries. So construction machine control, some of the other construction stuff survey and survey infrastructure, agriculture and then the Mobile Solution. So we actually see an opportunity set pretty much around the world with a couple of exclusions.
Scott Sutherland - Wedbush Morgan Securities: Well that a pretty extensive list, I will give you break and direct my second question at Raj here. Putting your guidance into the model of 22% tax rate, it looks like a year-over-year decline in operating margin. You need to count Q3 with some good cost management and understand summaries and be conservative. And could that... could you talk about is it gross margin, is it some expenses due to this Cat partner... JV that you are doing. What's going into the margin being more flattish, even down based on your guidance?
Rajat Bahri - Chief Financial Officer: If you assume the high end of the guidance it's not a flat margin. Low end of the guidance is slightly lower than flat. So there's some conservative inbuilt in the low side of the guidance. But our guidance is $0.32 to $0.35. And if you assume $0.35, that assumes a margin gain versus prior year. And on the low end you are right, we built in little bit conservatism just respecting the environment out there.
Scott Sutherland - Wedbush Morgan Securities: And is there anything... is there anything built in with cap ramping effects relationship that's been creating more cost than --
Rajat Bahri - Chief Financial Officer: No, No that's deminimus.
Scott Sutherland - Wedbush Morgan Securities: Okay, great. Thank you.
Operator: Our next question is from the line of Ajit Pai with Thomas Weisel.
Ajit Pai - Thomas Weisel Partners: Good afternoon.
Rajat Bahri - Chief Financial Officer: Hi.
Ajit Pai - Thomas Weisel Partners: A couple of quick questions. I think the first one is regarding acquisitions. I think you pointed out earlier today that while you are expecting to make acquisitions that are very much in the same kind of size and nature of what you have been making over the past couple of years, but you have made too relatively large acquisitions in the past and just given the current market environment and watching evaluations coming broadly, Is it something that you would consider making another large acquisition. I know there was like 6.5 years between the last two or is that something that's out of question?
Steven W. Berglund - President and Chief Executive Officer: It's certainly not out of the question and I guess you could quote our own past at me I think if I said it was out of the question, the interesting fact there... the interesting calculation here is that if we are going to stay strategically centered on our businesses, the fact that we are pioneering those businesses in many cases that we are creating applications means almost by definition is there aren't a whole lot of other large players populating those markets. And therefore, there are very few what I would call transforming acquisitions that could be done out there. So I would... as a statistical probability say that it is unlikely that we are going to do anything terribly large. There are opportunities in the mobile solutions segment that are a bit larger than what we've done before. There are companies in that range of $40 million to $50 million here in revenue. But in general, I would not be looking for a big game at this point in time, just because to a large extend it doesn't exist unless we take ourselves out of our points of strategic focus.
Ajit Pai - Thomas Weisel Partners: Got it. And then when you are looking at the available credit right now that you have as a company could you give us... could you remind us what the total amount is, what the agreed upon rates are and what the length of that agreement is?
Rajat Bahri - Chief Financial Officer: So we have a credit line and we have $300 million as you... we announced right now we have $50 million of debt on our balance sheet. So we have as of close of Q3 $250 million available to us, all our banks what we call the acquiring bank. So it's led by people like JP Morgan, Scotia, Wells Fargo. So it's holding... we have... we've been withdrawing money from it and it's holding very solid. The cost of our borrowing at this point is LIBOR plus 65 basis points and this agreement is valid for another four years. So our credit facility is very solid very, very cost effective and is there for us for the long-term.
Ajit Pai - Thomas Weisel Partners: Got it. And just given the fact that you have this credit facility and also the fact that your stock prices come in quite materially does the attract... is your stock more attractive now for share buyback than it was earlier or is there some different kind of math that you are making when you are looking at the cash flows and use of cash flows to acquisitions in your stock price?
Steven W. Berglund - President and Chief Executive Officer: On a particular one year just came here at silence from the sound of the front-end [ph], I am afraid.
Rajat Bahri - Chief Financial Officer: Yes. I mean typically we don't say anything before the quarter starts. And you have seen our past behavior. So it all depends on acquisition pipeline and what's happening if you have more than normal acquisitions. And as I said two or three banks who go under in the next two weeks; we may not do anything. But if the credit situation continues to be stable as it stabilized somewhat we may do something so.
Ajit Pai - Thomas Weisel Partners: Got it. Thank you.
Rajat Bahri - Chief Financial Officer: Thank you.
Operator: Our next comes from the line of Corey Toben with William Blair & Company.
Corey Toben - William Blair & Company, L.L.C.: Hi, good afternoon.
Steven W. Berglund - President and Chief Executive Officer: Hey.
Corey Toben - William Blair & Company, L.L.C.: A couple of things I wanted to touch upon here. Steve in your prepared remarks you'd mentioned that growth in the Rest of World outside of U.S. and Europe would be relatively stronger in E&C business. It would be very helpful if you could just give us a feeling for what percent of the E&C business today is concentrated in the US and Europe?
Steven W. Berglund - President and Chief Executive Officer: We don't disclose that but I look to Raj. We have said some things about that in the past so I'll let him craft an answer for you Corey.
Rajat Bahri - Chief Financial Officer: Kindly ask the next question while I try and get you an answer.
Corey Toben - William Blair & Company, L.L.C.: Got it. Okay. Shifting gears for a second. Any feedback you could provide on the response from the Caterpillar dealer network thus far in the SITECH announcement. And also on a quantitative basis, what is the capital that you anticipate is needed for the build out of this network in total, and I know you've said in the past that Trimble's portion of the minimal, but could you clarify exactly what you anticipate in terms of capital spending to that build-out moving forward? Thanks.
Steven W. Berglund - President and Chief Executive Officer: Okay, so maybe taking in them in reverse orders as far as capital requirement basically from a Trimble perspective effectively nothing. Okay so the idea is here is again the cap dealer principal not the cap dealership or the cap dealership will sit off to the side what we are building here is an entirely new channel. But the idea is for the cap dealer principle, the owner of the cap dealership to buy into the Trimble dealer. But... so the capital requirements there will be somewhere else but they won't be Trimble's. Now we will have to step up in class in terms of the levels of support in such to that dealer channel but in reality there won't... I wouldn't anticipate for the dealer extension, for the distribution channel development, I would not actually expect any CapEx or at least anything meaningful from Trimble. Now in answer to question what's been the response thus far since the October 6th, announcement, really it's been very enthusiastic, it's been very gratifying in part because of the Trimble dealers as well as the Cat, many of the Cat dealer principles anyway have really been in the know as to what was going on since early this year. So this has been a long anticipated event and people have really been sitting and waiting for it to happen. Maybe to our detriment in terms of the levels of activity so far this year. So the response has been a burst of energy, a burst of enthusiasm and really a desire to get going to better penetrate the market. So the response has been positive.
Corey Toben - William Blair & Company, L.L.C.: And can you just, it was the understanding that Trimble's commitment nor the dealers that had the principles. Can you give us a sense of the order of magnitude, how the total commitment to that has about in dealer network?
Steven W. Berglund - President and Chief Executive Officer: Well, I don't know and we've actually kind of quantified in aggregate. We're quantifying it kind of region by region and such, but typically to create a dealership for, and to do what we were talking about, there is an obvious investment in inventory. Let's call that a seven figure number, but not a big seven figure number. There is, okay the need to finance and receivables again probably a low seven figure number. And then there is the need to built out the... a service center which does involve some capital expenditure. But again there'll be, let's call kind of two models here. If there is an existing Trimble dealer, it will be a transaction between that existing Trimble dealer and the Caterpillar, the principle of the Caterpillar dealership. So the business is already there, it's already intact. It may get expanded, but again I think the actual capital requirement.... its an equity transaction first and primarily and then, okay, there maybe an additional injection of capital to increase the capabilities. But again I would call it a low seven figure, number of kind of region by region or area by area. Now, the alternative model will be where Trimble has essentially a white spot on the map, where we really don't have kind of that dealer or dealer or dealer of any substance in place at that point in time it will be more of a Greenfield type solution which is the opportunity for Trimble out of this to fill in the map more quickly. And there, there would let's call it a somewhat larger seven figured number to be invested. But, so in aggregate there is a fair amount of the money involved, but it will be spread over that well pretty much so the capital investment level here will not be a any kind of constraint to the about... when we are talking about, kind of the people we are talking about here.
Corey Toben - William Blair & Company, L.L.C.: Okay, thanks.
Steven W. Berglund - President and Chief Executive Officer: Doyou want to...
Rajat Bahri - Chief Financial Officer: Certainly that question you asked, typically we don't disclose that, but this we did disclose at one of our previous calls. So, what we said was 20% of total company revenue is exposed to construction market or E&C market in U.S. and that continues to be true even in small range.
Corey Toben - William Blair & Company, L.L.C.: Okay. Great, thank you.
Operator: Our final question comes from the line of David Daleyo [ph] with Canaccord Adams.
Unidentified Analyst: Hey, guys thanks for taking my call. Just in for Jeff. I have a quick precision Ag question. So I understand kind of tempering growth in 2009, but does that kind of deceleration start to happen this quarter in Q4 that being said, aside from these economic meltdown that we are seeing. We have a got tough comp coming up in Q4, so just trying to get the feeling for a year-over-year growth in precision Ag in this quarter.
Steven W. Berglund - President and Chief Executive Officer: Yes. So I don't think we're comfortable kind of breaking out on one quarter guidance. Any particular element of it, because the next question will be about construction and before long, we've kind of broken out the entire forecast.
Unidentified Analyst: Okay.
Steven W. Berglund - President and Chief Executive Officer: Let's just say looking forward that we're anticipating the comps that we generated for this year are effectively and possible to sustain. So you're pointing out year-to-year comps. So I think you can probably come for the right judgment on your own on that one, but again we're still looking to a lot of potential in the agricultural market.
Unidentified Analyst: Okay, great. Thanks a lot.
Steven W. Berglund - President and Chief Executive Officer: Okay.
Operator: There are no further questions at this time. Are there any closing remarks?
Steven W. Berglund - President and Chief Executive Officer: No closing remarks. Thanks for calling. We look forward to talking to you in January.
Operator: Ladies and gentlemen, this concludes the conference call and webcast for third quarter earning. You may now disconnect. .